Operator: Good morning and welcome to Southern Copper Corporation’s First Quarter 2016 Results Conference Call. With us this morning, we have Southern Copper Corporation, Mr. Raul Jacob, Vice President, Finance and CFO, who will discuss the results of the Company for the first quarter 2016 as well as answer any questions that you might have. The information discussed on today’s call may include forward-looking statements regarding the Company’s results and prospects, which are subject to risks and uncertainties. Actual results may differ materially and the Company cautions to not place undue reliance on these forward-looking statements. Southern Copper Corporation undertakes no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. All results are expressed in full U.S. GAAP. Now, I will pass the call on to, Mr. Raul Jacob. You may begin.
Raul Jacob: Thank you very much, Richard, and good morning to everyone and welcome to Southern Copper Corporation’s first quarter 2016 earnings conference call. Participating with me in today’s conference are Mr. Oscar Gonzalez Rocha, Southern Copper’s CEO; and Mr. Daniel Muñiz, Executive Vice President of Southern Copper. In today’s call, we will begin with an update on our view of the copper market. We will then review Southern Copper’s key results related to production, sales, operating cost, financial results and expansion projects. After that, we will open the session for questions. Now, let me focus on the copper market, which is the core of our business. During the past quarter, we have seen some easing in the macroeconomic headwinds that have affected our market over the last four years. In particular, we want to emphasize the slight recovery of commodity prices as a result of the U.S. dollar depreciation. Also the Chinese economy’s copper consumption has a more positive outlook now, improving the sentiment regarding the copper market balance. As you know, China is the world’s major copper consumer with about 46% of world consumption. We believe that China’s demand for copper is having reasonable support from the partial recovery of the housing markets and the national grid investment program. Looking at the supply side, production cut announcements are currently over 800,000 tons. As these cuts materialize, they will offset the additional production coming from new operations such as Las Bambas, Toromocho or expansions including Cerro Verde, [indiscernible], Buenavista project. In addition to these production cuts, we believe that supply will be affected in the coming quarters from delays in project startups, technical problems, labor unrest, excess government taxation and other difficulties that has [incumbent] [ph] to our industry in the last few years. Even though the current world’s economic outlook for growth has been adjusting slightly downward, we believe copper demand is consistently improving and [audio gap] approvals. As a result, we anticipate market tightness for the future, giving us an optimistic view about long-term copper price. Let me now focus on Southern Copper production for the past quarter. Copper mined production increased by 24.8% in the first quarter of this year, that is 221,661 tons, a new Company record. Last year, we had 177,616 tons in the first quarter of the year. This was mainly the result of higher production at our Buenavista mine which increases its production by 43,898 tons or 67.6%. The remaining difference includes positive variances at La Caridad and Cuajone that were partially offset by reduction at the Toquepala operations. Regarding molybdenum, it represented 4.4% of the Company sales in the first quarter of 2016. Molybdenum production decreased by 4.9% to 5,571 tons in the first quarter of this year from 5,856 tons in the first quarter of 2015, principally due to lower production at the Toquepala mine. This was the result of lower grades and recoveries, the production reduction at Toquepala was 18.6 molybdenum but all other Company molybdenum operations increased their volumes partially offsetting the Toquepala lower volume. Silver represented 4.9% of our sales in the first quarter of 2016 and it is currently our first byproduct. Mined silver production increased by 25.7% in the first quarter of this year when compared to the same period of 2015. This was mainly the result of higher production at our Buenavista operation that increased 125% its silver production and the IMMSA operations that increased their silver production by 16%. Zinc represented 3.7% of our sales in the first quarter. Mined zinc production was 18,028 tons in the first quarter, 18.6% higher than the first quarter of 2015 production as we solved all the problems that we had at the Charcas and Santa Eulalia mines in the last year. Looking at our financial results, for the first quarter of 2016, we had sales for $1.3 billion that were $29.7 million lower than sales for the first quarter of 2015 that is 2.3% less. We had significant copper sales volume increased of 26.2% that was partially offset by lower copper prices of 19.7% lower prices and this [due] [ph] a net increase in sales value of about 1.7% for copper. Regarding byproducts, higher sales of silver of 9.3% due to higher volume of 25% was partially offset by lower prices that decreased 11% in the past quarter. We had lower sales for molybdenum of 38.8% due to lower volume, minus 4%, and prices, the main reason, 37.3% lower. Lower zinc sales of 22.2% were due to lower volume, minus 5.4% and prices minus 19.1%. Even though our copper sales volume increased by 26.2%, our total operating cost and expenses increased by only 7.3% or $61 million when compared to first quarter of 2015. Main cost increments, were in purchase copper, depreciation, repair materials, reagents and sales expenses. These cost increments were partially offset by lower inventory consumption, diesel and fuel cost, environmental remediation, labor and workers participation, and other cost reductions. Let me mention that our total operating cost and expenses decreased by $168 million or 15.8% when we compare it to the last quarter of 2015. As we indicated when reporting the fourth quarter of 2015, we had a non-recurring increase in operating cost in the fourth quarter of last year due to lower -- due to cost of copper from third parties and some Buenavista related ramping up costs. Finally, some year-end adjustment increased the cost in the fourth quarter. That was unique event that we don’t expect to occur again. Looking at our EBITDA, EBITDA for the first quarter of 2016 was $481 million that is 38.6% margin compared with $556.1 million or 43.6% margin for the first quarter of 2016. Our cash cost, operating cash cost per pound of copper before byproduct credits was $1.41 per pound in the first quarter of 2016, compared with $1.74 per pound in the fourth quarter of last year. This is a $0.33 decrease. This 19% decrease in operating cash cost is the result of lower unit cost from our production, lower unit treatment and refining charges, and administrative expenses. Southern Copper’s operating cash cost including the benefit of byproduct credits was $0.98 per pound in the first quarter of 2016. This cash cost was $0.30 lower than the cash cost of $1.28 for the fourth quarter of 2015 that is a 23.5% reduction. Regarding byproducts, we had a total credit of $203 million or [$0.425] per pound in the first quarter of this year. These figures compare with the credit of $196 million or [$0.453] per pound in the fourth quarter of 2015. Total credits have increased for molybdenum and zinc and decreased for gold, sulfuric acid and silver. Net income attributable to SCC’s shareholders in the first quarter of 2016 was $185.1 million that is 14.9% of net sales or diluted earnings of $0.24 per share. Looking at our expansion and capital projects, capital investments were $223.3 million for the first quarter of 2016 that is 10.2% lower than the first quarter of 2015 and represented 120.6% of net income. In 2016, we continued the development of our investment program to increase copper production capacity by 90% from our 2013 production level of 617,000 tons to 1.2 million tons. Focusing on our Mexican projects, of the $3.5 billion of the Buenavista project program, the Company has already invested $3 billion. Excluding the Quebalix project and some infrastructure facilities, all the other facilities of this program are currently operating, and we are expecting to increase production by 200,000 tons to produce 460,000 tons of copper in 2016 and 500,000 tons of copper in 2017 at the Buenavista operation. We also expect to increase our molybdenum production in Buenavista by 42% to roughly 4,900 tons per year. The Buenavista program is being completed under budget. Regarding the mine equipment, today we have received 61 400-ton capacity trucks, seven shovels and eight drills required for the mine expansion, with an investment of $510.9 million. All of these assets are currently in operation. The new copper and molybdenum concentrator has an annual production capacity of 188,000 tons of copper and 2,600 tons of molybdenum. The project will also produce 2.3 million ounces of silver and 21,000 ounces of gold per year. The new concentrator is completing its ramping up phase with its six mills already in operation. In September of 2015, we obtained the first copper concentrate lot, and the plant is now running at 93% of capacity. Due to the promising initial results, it is expected to gradually increase production until the plant reaches full capacity by this quarter. The project has a 99% progress. The crushing and conveying and spreading system for leachable ore, what we call the Quebalix IV project is a project that has the main objective to reduce processing time as well as mining and hauling cost. It will also increase production by improving SX-EW copper recovery. It has a crushing and conveyor capacity of 80 million tons per year, and it is expected to be completed by the second quarter of this year 2016. As of March of 2016, the project has a 94% progress with an investment of 226 million out of the proved capital budget of $340 million. The remaining projects to complete the 3.5 million budget program including important investments in infrastructure, power lines and substations, water supply, tailings dam, mine equipment, shops and internal roads. Looking at the Peruvian projects, we have the Toquepala expansion project, which is in Tacna, region Tacna in Peru. This project includes a new state-of-the-art concentrator, which will increase annual production capacity by 100,000 tons of copper to 230,000 tons of copper production by 2018. And we also increased molybdenum production by 3,100 tons at an estimated capital cost of $1.2 billion. Through March of this year we have invested $405.7 million in the project. The project is expected to be completed by the first quarter of 2018. The Toquepala high pressure grinding rolls or HPGR system have the main objective to ensure that the concentrator -- the current concentrator in Toquepala will operate at its maximum capacity of 60,000 tons per day, even with an increase of the ore material hardness index. Additionally, recoveries will be improved with the better ore crushing. The budget for this project is $40 million and we have invested $7.1 million as of March 31st of this year. The project is expected to be completed by the fourth quarter of 2017. The Cuajone heavy mineral management optimizing projects in the Moquegua region in Peru, it’s a project that consists of installing a primary crusher at the Cuajone mine pit with a conveyor system for moving the ore to the concentrator. The project aims to optimize the hauling process by replacing rail haulage thereby reducing operating and maintenance costs as well as the environmental impact of the Cuajone mine. The crusher will have a processing capacity of 43.8 million tons per year. The main components including the crusher and the overland belt has been acquired and we have started the preparation with the land and civil works. As of March of this year, we have invested $85 million in this project out of the approved capital budget of $165.5 million. The project is expected to be completed by the first quarter of next year. Regarding dividends, as you know, it is the Company policy to review at each board meeting cash resources, expected cash flow generation from operations, capital investment plan and other financial needs in order to determine the appropriate quarterly dividend. Accordingly as disclosed to the market on April 21st, the Board of Directors authorized a cash dividend of $0.05 per share of common stock payable, May 24th to shareholders of record at the close of business on May 10th of this year. With this in mind ladies and gentlemen, thank you very much for joining us, and we will like to open up the forum for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Karel Luketic from Bank of America Merrill Lynch. Please go ahead.
Karel Luketic: I have two questions, the first one is on CapEx. We saw first quarter CapEx running below budget and we just wanted to confirm what the guidance for CapEx in 2016 and 2017 onwards is, please and if that includes or not Tia Maria? And my second question is on the production guidance, if you could provide the latest update for copper production 2016, ‘17 et cetera onwards that will be great. Those are my questions? Thank you.
Raul Jacob: Okay, thank you very much for your questions, Karel. First, at this point, we just finished the first quarter of the year, so we don’t think that our capital budget has to be adjusted at this point. If we see a reduction in the trend of expenditures or at what you mentioned holds for the second and quarter, we will make an adjustment. But, at this point, we will like to maintain the budget as it is. Regarding the production, our current view is that, -- well, we indicated in the first call of the year in January that our goal for the year is 903,000 tons of copper for 2016. As you have seen our first quarter numbers are slightly better than just what we mentioned, so we may at this point estimates a slightly increase in our production of -- to about 910,000 for 2016. For next year, 2017, 944,000 tons; for 2018, 1,057,000 tons; 2019, pretty much the same; and 2020, 1.2 million tons. This includes the effect of Tia Maria, particularly in 2019 and ‘20.
Operator: Thank you. Our next question on line comes from Carlos de Alba from Morgan Stanley. Please go ahead.
Carlos de Alba: So, the cost in the quarter performed very well, and so just wanted to explore, what are your views going forward as you get to full capacity in the concentrator, in the new concentrator in Buenavista. And then as Toquepala project comes on line, where did you see the 141 trending? And also the new energy supply agreement in Peru, could you elaborate a little bit more on what can we expect from that new contract coming in? And then, if you can talk a little bit about why the Company continues to purchase copper in the quarter and a little bit of an increase year-on-year, so you can comment on that, that will be great. Thank you.
Raul Jacob: I couldn’t get your last concern, Carlos. Could you repeat it please?
Carlos de Alba: Yes, it’s purchase copper, the purchase of copper concentrate? So…
Raul Jacob: Okay, on cash cost, we indicated at the beginning of the year that our guidance for 2016 before credits was $1.50 for the year; we’re doing a little bit better than that. This quarter we have this, you will point out 1.41. For the rest of the year, we expect the cash cost to be where it is or vary very little depending on the prices mainly. We’ll increase our production slightly through the second quarter and the third quarter to finally reach full capacity in our new concentrator. That certainly will bring in some much lower cost units to our pipeline of production. However, we always have some other contingencies that may affect this. So, for now, let’s say that we are about $1.41 or $1.40 before credits. After credits, we’ll have some good news in the second part of the year, when we initiate the ramping of our new molybdenum plant in Buenavista. That is something that we’re expecting for the third quarter of the year and that should increase our credits. Besides this, as you have seen, we’re looking at better prices for silver, for gold; today silver passed over $18 per ounce; that will certainly help us. As I mentioned, silver is now our main byproduct after -- or the second product after copper. And molybdenum is getting a little bit better from what we have seen in the last couple of quarters. Looking at your concern about the power contract, well, we have good opportunity to improving our target for power in Peru. And we’re taking advantage -- that should improve our cost position for the Toquepala project. That is something that we’re still working on, but we’re very close to a final agreement. And finally, on the purchase -- yes?
Carlos de Alba: Yes, is it possible to quantify or give us a range of the potential impact of this new energy supply agreement in your cost?
Raul Jacob: Just for the plant will be a cost reduction in power for about 20%, but just for the plant, or the new plant.
Carlos de Alba: The new plant in Toquepala?
Raul Jacob: The new plant in Toquepala. So, the effect of that is a slight improvement in our energy cost. Besides that on your point about purchase concentrate, this is something that we do more or on an operational basis sometimes you have some excess concentrates that you sell at certain part of the year. And if commercial conditions are appropriate, you acquire copper from third parties. So, this is not specifically driven by the business, by the operations. And as such, we have been acquiring copper concentrates for our Peruvian units as well as the Mexican units in the past. Now, I don’t think that we’ll be acquiring copper concentrates for the Mexican units. But, in the case of the Peruvian operations, sometimes it is better to acquire copper concentrates from a nearby copper producer such as Cerro Verde for instance than to go importing the copper concentrate that we own in Mexico.
Operator: Thank you. Our next question comes from Matthew Korn, Barclays Capital.
Matthew Korn: Let me ask a little bit on Tia Maria. Has anything changed there? I know you’ve been conducting your outreach program and the government has been recommending the round tables, but I guess can anything move forward really until after the election or not? And then, secondly, follow-up on that, should we think about any substantial differences that you can perceive in the two Peruvian candidates regarding their relationship with the mining industry because I believe that Mr. Kuczynski is a former mining minister himself. I just wonder it would seem that’d be beneficial but your views on that would be helpful. Thanks.
Raul Jacob: Okay. Let me address first your concern about Tia Maria. We didn’t have much to report, much new to report on this, and that’s why we didn’t mention it in our report. So, what’s it? It is basically the situation is pretty much the same; we’re still working with both the communities and the government in order to get the project moving forward. And there is not much to report on that. Regarding the two candidates on the runoff, well, at this point, we believe that we can work very well with whoever is elected. We have a policy of collaborating with the government authorities and to provide as much of our own view on how the industry could be improved. And I think that in that regard we can work very well with any one of the two candidates.
Operator: Thank you. Our next question on line comes from Marcos Assumpçao from Itaú BBA. Please go ahead.
Marcos Assumpçao: First question, you mentioned about the strong demand in China recently. Do you have any views on why copper prices have not rebounded as much as other commodities that are related to the housing industry, like steel and iron ore? And second question would be with the recent recovery in copper prices to the level of 2.30 per pound, have we started to see any of the guy that were shutting down capacity when prices were lower thinking on getting back to the market?
Raul Jacob: Okay. First, let me say that we don’t see a strong copper demand in China. We just see more support for demand. We believe that the copper market is not -- I mean the physical copper market is not as bad as the prices may indicate. We last year sold 70,000 tons of refined copper, very quickly, no problems, very good turns. This year, we have 160,000 tons of copper concentrate that add to this 70,000 tons I mentioned. Again, very good turns. A significant portion of these concentrates are going to Chinese smelters. So, we believe that the physical market is not as bad as people think to believe. And the reason for that I believe that this is my personal view is that do you hear the news of the new projects and you don’t hear the bad news, I mean nobody wants to talk about them while cutting production, ore not getting the plans as you expected, or nor doing a ramping as you were thinking about. So, in that sense, we believe that the market will certainly show a much more support for this year and next year.
Marcos Assumpçao: And regarding the capacity shutdowns or capacity restarts, did you see any news on that front?
Raul Jacob: No, not at this point.
Marcos Assumpçao: Last question, Raul, on the scrap market, can you comment a little bit on how you see that; how you see prices on the scrap market as well?
Raul Jacob: Well, scrap market is pretty much quite reduced nowadays. At these copper prices, not much activity in scrap; most likely the producers of scrap are keeping it to themselves for a better time to sell them. That’s basically what we think. And that’s why you see much more refined copper demand coming from the major consumers of copper.
Operator: Thank you. Our next question on line comes from Alfonso Salazar from Scotiabank. Please go ahead.
Alfonso Salazar: I was checking that your working capital has been increasing and sales of copper remained below production, I think this is the third quarter in a row. So just wondering what can we expect for the second half of the year regarding working capital and sales?
Raul Jacob: Let me first mention that working capital usually increase for the Company in the first quarter of the year due to certain payments that we do at the Peruvian operations such as workers’ participation or income tax. Secondly, I think that that the increase in the working capital has an explanation that I will summarize now. Our invoicing increase by the new operation of Buenavista, new sales of concentrates, concentrates to longer terms that refine copper. So, our accounts receivable increased by about a $110 million, when you compare this past quarter with the first quarter of 2015. Inventories also increased due to the higher operation activity that the Company has. That includes also some increasing our leachable inventories for processing at the new SX-EW III plant in Buenavista. At the end or through 2015, we have had significant accounts payable due to the project final payments for the Buenavista projects. And we have decreased that quite a bit by about a $150 million in the last quarter of 2015 and the first quarter of the year. And that also increased the working capital of the Company and the reference is just other activities related to tax credits and some other prepayments that we have to do for our projects. So, mainly I would say that this is -- increasing in working capital that you’ve seen is related and the drainage of that in our cash generation from operations is resulting from the new project activities and the current construction of the other projects that are still in the construction part of their lifecycle.
Alfonso Salazar: And do, you think it’s going to normalize at this level in the second quarter or what can you expect?
Raul Jacob: I think that we should have a better trend in cash from operations in the second quarter and on. We will have a more stable Buenavista operation requiring less working capital because you already put it in the fourth and the first quarter of the year. And we will see the impact in accounts payable of the new Toquepala concentrator. So, we should be generating more cash from operations in this quarter and the rest of the year.
Operator: Thank you. Our next question on the line comes from Guillermo Estrada from GBM. Please go ahead.
Guillermo Estrada: Just two quick questions from me, and the first one is regarding the IMMSA mines Santa Eulalia and Charcas. Currently what is that situation that we should we expect in terms of production for the next couple of years? And just a follow-up question, are there any updates on the moly and silver production guidance for this year and 2017?
Raul Jacob: Let me focus first on Charcas and Santa Eulalia. In the case of Charcas, we had some operating problems in 2015 that has been already solved; and in the case of Santa Eulalia, we had a slot that we spend some resources in fixing this problem. We believe that it’s solved already; there’s some difficulties due to an underground river that goes very close to the Santa Eulalia mine. Looking at our zinc production for [audio gap] we indicated we’re expecting 84,600 tons of zinc, for 2017, 90,000 tons of zinc, for 2018, 107,000 tons of zinc.
Operator: Thank you. Our next question comes from Ricardo Miranda from LarrainVial. Please go ahead.
Ricardo Miranda: Thanks for taking the questions. The first one is regarding MSCI possible change in Southern Copper at money market index. I’d like to know what is your sense in that matter? Second is what about the El Pilar project, what are the advances there? And third, as price recovers toward the end of this year, I’m speaking about copper price and byproducts. Do you expect that you will continue with the stock buyback plan? Thank you very much.
Raul Jacob: Okay. Let me start by your first concern, MSCI. We hope that MSCI maintain the Peruvian, the Lima stock exchange as an emerging market. If they don’t do that, they have mentioned that they will pass Southern Copper as a U.S. company and since most of our operations are in Mexico and Peru, we believe that our companies proceed more than U.S. risk, Latin American mining risk. So, we will certainly lag this to be the case that we remain as we have been so far. But, if it happens, we don’t think that it will have a strong effect on the Company share price. I’m sorry, your second question was…
Ricardo Miranda: El Pilar.
Raul Jacob: On the El Pilar, okay. El Pilar, we have -- our Board has approved budget for doing in-depth study on the best way to go ahead with this project -- Mr. Gonzalez will make a comment.
Oscar Gonzalez Rocha: Yes, we are going to lose only some drilling to find and check all the results of that. But right now, suspended until we can get more income to the level of that project. But right now, we are only going to drill for verify results and that’s all.
Raul Jacob: On the share buyback, we have stopped and we will maintain that for a while.
Operator: Thank you. Our next question on line comes from Tony Rizzuto from Cowen & Company. Please go ahead.
Tony Rizzuto: Thank you for taking my questions. The first one is a follow-up. You made some comments that were rather constructive on China and yet we see the physical premium being pretty sluggish over there, so just some further color on that, why the disconnect? And the secondly, you indicated that you believe supply will be affected in future quarters, and I was wondering if you could elaborate, be a little bit more specific about which mines or operations that you see in particular as having some of those issues? Thank you.
Raul Jacob: Let me start by the second question that you have. We’re seeing several announcements of the cuts in production; in our collection, these are over 800,000 tons already, [audio gap] cuts have to be materialized. And they are mainly in high cost operations worldwide. I think that, if you look at what happened in the U.S. you had announcements of either shutdowns or production reductions in several mines -- let me mention some of them we have Mineral Park, Wolverine [indiscernible], Miami et cetera. And same thing happens in some other operations worldwide. The most important impact has been at the African operations where this has been combined with some state higher taxation or some other actions from the African states. So, those are currently affecting the supply demand balance, reducing supplying and accommodating some space for the new projects production that we’re seeing worldwide. An important thing to mention here is that we don’t have new Greenfield projects being approved at this price levels and that is creating certainly a deficit in the future for our industry. And I think that that’s where good fundamentals for copper are holding. Regarding the Chinese terms, we -- I see your point but we believe that demand is improving in Tier 1 and Tier 2 cities with much more housing demand that will give some better support for acquisitions of or copper purchases from China. And also the national grid plan has been growing at a good pace in the last few quarters. So, those two reasons make us to believe that the market will have some support in China.
Operator: Thank you. And our final question comes from Ricardo Miranda from LarrainVial. Please go ahead.
Ricardo Miranda: Already you took my questions. Thanks.
Operator: At this time, I see we have no further questions. I’d like to turn the call back over to presenters for any closing remarks.
Raul Jacob: Richard, I think that we have one more call, one more questioner.
Operator: We do have a question that came in the queue from Carlos de Alba please go ahead.
Carlos de Alba: Thank you very much, and just a couple of housekeeping items, Raul. So, we so that the depreciation charge in the quarter did not increase despite the fact that the CapEx has been going up. And also the tax rate, which has been quite volatile recently, remained -- the effective tax rate that is still remaining in the quarter around 34%. And so, just wanted to understand how do you see that effective tax rate going forward?
Raul Jacob: Tax rate, and the first one was?
Carlos de Alba: Depreciation.
Raul Jacob: Depreciation, yes. Okay, depreciation, basically -- it takes a [audio gap], once you finish spending the money, it takes a little bit longer to start depreciating the assets. And the reason for that is that you have to do final payments to your vendors of equipment et cetera, et cetera. Usually when we do this, we catch up with whatever depreciation we have to do and we try to anticipate it. But this so far, this is what we’re charging now. We may have an increase on this as we move on with the end of the Buenavista projects, and we initiate the capitalization of other projects that we’re doing -- are currently doing. Regarding the tax rate, we’re expecting it to be at this level; it may be slightly adjusted upward as we go ahead with the Buenavista projects and when we start paying dividends from the Mexican operations. But at this point, it reflects our view on the year. This is an important thing to mention. At this point, the tax rate, effective tax rate of the Company represents what we are expecting for 2016. We see a difference; we will adjust the rate in the corresponding quarter.
Operator: And I see we have no further questions at this time.
Raul Jacob: Okay. Well, thank you very much. With this, we’re concluding our conference call for Southern Copper first quarter of 2016 results. We certainly appreciate your participation and hope to have you back with us when we report the second quarter of 2016. Thank you very much and have a nice day today.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.